Operator: Good afternoon. My name is Alicia and I will be your conference operator. At this time, I would like to welcome everyone to the Workiva Q2 2015 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question and answer session. [Operator Instructions] Thank you. Adam Rogers, You may begin.
Adam Rogers: Thank you and good afternoon everyone and welcome to the Workiva Second Quarter 2015 Earnings Conference Call. This afternoon, we’ll begin with comments from Chairman and Chief Executive Officer, Matt Rizai, followed by Executive Vice President, Treasurer and Chief Financial Officer, Stuart Miller, and then we’ll turn the call over to questions. Also on the line today are Marty Vanderploeg, President and Chief Operating Officer, and Mike Sellberg, Executive Vice President and Chief Product Officer. A replay of this call will be available until August 12. Information to access the replay is listed in today’s press release which is available on our website under the Investor Relations section. As a reminder, today’s conference call is also being broadcast live via webcast. Before I begin, I’d like to remind everyone that during today’s call, we will be making forward-looking statements regarding future events and financial performance, including guidance for our third quarter and full fiscal year 2015. These forward-looking statements are subject to known and unknown risks and uncertainties. Workiva cautions that these statements are not guarantees of future performance. All forward-looking statements made today reflect our current expectations only and we undertake no obligation to update any statements to reflect the events that occur after this call. Please refer to the Company’s Annual Report on Form 10-K and the Quarterly Report on Form 10-Q for factors that could cause our actual results to differ materially from any forward-looking statement. Also during the course of today’s call, we will refer to certain non-GAAP financial measures. Reconciliations of non-GAAP to GAAP measures and certain additional information are also included in today’s earnings press release. With that, we’ll begin by turning the call over to our Chairman and CEO, Matt Rizai.
Matt Rizai: Thank you, Adam, and thanks to everyone for joining us today to discuss our second quarter 2015 results. We delivered strong second quarter performance, generating revenue and operating loss results that beat our guidance range. Total revenue for the quarter was $34 million and the increase of 28% over Q2 of 2014. With subscription and support revenue up 28% and professional services revenue up 29% year-over-year. Overall our Q2 results show continued strong demand for Wdesk. Investments in sales and marketing and enhancements in Wdesk technology are not only driving new customer wins. But also increasing the average subscription total contract value across our total customer base. Our first half of 2015 results combined with our strong and grown pipeline of new business opportunities give us a confidence to again raise our full year 2015 revenue guidance which Stuart Miller will discuss later in the half. In Q2, we continue to add new Wdesk customers for SEC reporting as Wdesk has become that market practice. We also saw strong demand for our non-SEC huge cases which are driving not only new customer wins. But increasing our ability to add seat and solutions within our existing customer base. We are encouraged by the demand for our subscriber base - SOX compliance solution and we continue to believe we have a significant runway for expansion in this market. As you may read in our press release yesterday, more than 200 companies now use Wdesk for SOX compliance. In the near term to our platform over several months of drive Wdesk adoption for SOX. These enhanced features improved task and evidence management, data collection, flow charts, visualizations, dashboards, audit frail - mobile compatibility. We are also extremely pleased that the unique capabilities of Wdesk and the SOX market are attracting new users to our platform areas of governance, risks and compliance or GIC including related policies and procedures, audit and risk and control management. This is a great example of how Wdesk is expanding across our customers organizations. On the national reporting side our customers continue to discover new stage for Wdesk. For example, new lease cases for management reporting this quarter include - using Wdesk for sales, compensation planning and to manage foreign tax provisions. Said that, using Wdesk within a sales organization to sign off on our sales asset level. Field partners using Wdesk to attract corporate time sheets from multiple subsidiaries and a large media company using Wdesk to attract information related to -severance packages. The insurance sector is another great example of Wdesk expansion. Many of our insurance customers began using Wdesk for 1 or 2 business processes. But now more than 100 insurance companies use Wdesk to improve efficiencies and reduce risk across multiple business processes. Such as statutory reporting, other financial and SIP notes, product contract filing, model audit report and ORS which stand for On Risk and Solvency. The Wdesk risk solution continues to expand across other financial service companies. We have customers with the regular risk which includes mandated reports to government agencies. And we help customers of enterprise risk management which includes the internal control and management functions. For example, one banking customer start using Wdesk for comprehensive capital announces interview - reporting to Federal Reserve. They soon add other risk processes to Wdesk including peer incentive analysis, executive summary, monthly capital reporting, benchmarking industry analysis and capital planning committee presentations. They also added - resolution plan within this Wdesk and now different teams across the banks rely upon centralized length Wdesk work for a single source of its data. You also may have read that we recently released the result of a total economic impact to steady by force to the consulting that shows Wdesk ROI of 187% at a major tier 1 carriers. Over the three year period, the airline stand just over $140,000 in net invest by recognizing more than $404,000 with full benefits and cost savings. While airlines-- improve efficiencies by reducing the process to create and review its 10-K report by two weeks and its 10-Q reports by two weeks. The largest cost savings and benefits are Wdesk were for non-SEC solutions including reduce the cost of internal management reporting simplifying sustainability data collections and density from cloud based security trajectory of Wdesk potentially the Wdesk. We're looking forward to host the more than 1000 attendees at our Fourth Annual User Conference September 14 the - Orlando, Florida. We offering more than 50 sessions and a wide range of topics including SaaS and SEC compliance, risk mitigation, XPRL training, collecting and management on structured data and advanced Wdesk features. In summary, our second quarter was strong. The adoption of Wdesk continues to gain traction with both new and innocent customers and our sales pipeline continues to build. The breadth of Wdesk use cases enables us to engage our customers in multiple ways and is help a lot our expansion activity. We believe our gross proposition is resonating in the marketplace and we're well position to achieving our operating and Greenfield objectives for 2015 and beyond. With that, let me turn it over to Stuart Millar. Stuart?
Stuart Miller: Thank you as Matt discussed, we have strong results in the second quarter and we have a growing pipeline of new business opportunities that should position us well for the second half of 2015. In the second quarter we generated total revenue of $34 million it increased to 28.1% from the second quarter of last year. Breaking our revenue by reporting line item. Subscription and support revenue was $28.1 million was up 27.8% from Q2, 2015. 57.4% of SMS revenue increase came from new customers added in the last 12 months. The remaining 42.6% of the increase came from deeper penetration of our existing customer base. The average contract value on subscription and support from all customers continue to increase. Professional services revenue was $5.9 million and increase of 29.4% from the second quarter of 2014. Higher customer account and purchases for additional use cases accounted for most of the growth. When comparing results from sequential quarters, please recall that Q1 is our seasonal peak for professional services revenue due to higher demand for services associated with the preparation of 10-K and proxy statements. Turning to our supplemental metrics, we ended the second quarter with 2390 customers a net increase of 287 customers from Q2, 2014. And a net increase of 100 from Q1 of 2015. Our subscription and support revenue retention rate excluding ad-on was 96.3% as if June 2015 measurement date up from 95.9% in March 2015. Customers being acquired or seeking to file SEC reports once again accounted for over half of the revenue attrition. Including ad-ons, our subscription and support revenue retention rates was 108.4% at the June 2015 measurement date. Compared with 105.8% in March 2015, continued to assess by former teams and selling additional use cases was higher annual contract values to our existing accounts which adding a positive impact on our revenue retention rate. Moving down the income statement I'll just talk about our results before stock based compensation in other words on a non-GAAP basis. Please refer to our press release for a reconciliation of our non-GAAP to GAAP results. Gross profit was $24.4 million in the second quarter up 30.2% from the prior year period. And represented a gross margin of 71.8% compared to a gross margin of 70.7% in the second quarter of 2014. Now breaking out gross profit. Subscription support gross profit was $22.6 million representing an 80.5% gross margin on subscription revenue compared to $17 million or a 77.5% gross margin in the second quarter of 2014 reflecting operating leverage in our model. Our Customer Success teams continue to be more efficient. Professional Services gross profit was $1.8 million a 30.3% gross margin compared to $1.7 million or a 37.6% gross margin in the same period last year. We have increased both FTE and cash compensation over the past year in order to handle the growing demand for services around our new used cases. Turning to operating expenses, research and development expense in the second quarter was $11.8 million and increase of 13.3%, from $10.4 million in the prior year’s second quarter. The increase in our R&D expense was due to higher compensation and additional staff to further strengthen and enhance our technology platform Sales and marketing expense increased 27.2% over Q2 of 2014 to $15.9 million, driven by additional headcount and cash incentive compensation. We remain on track with our plans to expand our quota carrying sales team by 25% to 30% in 2015. In Q2 we also stated our investments in our marketing and advertising programs to improve market and brand awareness about Wdesk and Workiva, in September we will host our annual tech user conference again the majority of expense in this conference will hit in Q3 causing an increase in our sales and marketing expenses relative to Q2. So Q3 is the seasonal high point for marketing expenses for Workiva. General and administrative expenses were $4.6 million in Q2, an increase of 24.4% compared with $3.7 million in the second quarter of 2014. Driven by cost of being a public company together with increased compensation, software and support phase. Our G&A expenses in the second quarter were actually lower than we projected largely due to timing of consulting and professional fees which we expect to recognize in the second half of 2015. Operating loss was $8 million in the second quarter of 2015, similar to 2014’s second quarter operating loss of $7.9. Net loss was $8.4 million for the second quarter of 2015 essential flat as compared to the net loss in the second quarter of 2014. Net loss per share was $0.21 in the second quarter of 2015 compared to $0.26 net loss in the prior year period. Turning to our balance sheet and our statement of cash flows, at June 30, 2015, we had cash and equivalent of $86.4 million a decrease of $3.5 million compared with March 31, 2015. Net cash used in operating activities was $2.6 million in the second quarter of 2015. Regarding change in deferred revenue. As you may remember from previous calls we cut incentive s and long-term prepayments from customers in order to capture more margin and we continue to implement that plan. As a result our long-term deferred revenue declined $2.3 million from the first quarter of 2015. Offsetting this decline was an increase in current deferred revenue of $4.8 million over the prior quarter which was comprised of a $3.4 million rise in subscription support deferred revenue and a $1.4 million increase in professional services deferred revenue. As I indicated on the call last quarter we began standardizing around one year contract with new customers in Q2. Going forward and starting in Q3 we are shifting contract renewals from existing customers to a one year term. About 60% of existing contracts are now quarterly auto renew. Our plan is to transition a substantial majority of these quarterly contracts to an annual maturity over the next 24 months. Turning to our guidance for 2015. Our guidance on a non-GAAP loss from operations and non-GAAP loss per basic share excludes the impact of stock based compensation. Please refer to our press release for a reconciliation of our non-GAAP and GAAP guidance. For the third quarter of 2015, we expect total revenue to range from $35.1 million to $35.6 million. We expect non-GAAP operating loss to range from $14.1 million to $14.6 million the GAAP operating loss in the range of $17.2 million to $17.7 million. We expect non-GAAP net loss per share to range from $.36 to $0.37 the GAAP loss per share in the range of $0.44 to $0.45 per share. Our loss per share guidance assumes 40 million basic and diluted shares outstanding. Our guidance for the full fiscal year 2015 is as follows. We are raising our revenue guidance to a range of $141.5 million to $143 million. We continue to expect non-GAAP operating loss to be in the range of $36 million to $38 million and GAAP operating loss range from $47 million to $49 million. We expect non-GAAP net loss per share to remain in the range of $0.90 to $0.95. Finally we expect GAAP net loss per share to range from a $1.17 to $1.22 per share. Our loss per share guidance for the full year also assumes $40 million basic and diluted shares outstanding. In summary we keep posted another strong quarter. Demand remains robust for our solutions and we remain focused on executing growth plans to capitalize on our multi-billion market opportunity. With that we will now take your questions. Operator, we'll ready to begin the Q&A session.
Operator: Thank you. [Operator Instructions]. Your first question comes from the line of Michael Nemeroff with Credit Suisse. Your line is open.
Michael Nemeroff: Hi hey guys thanks for taking my questions and nice job on the quarter.
Matt Rizai: Thanks.
Michael Nemeroff: Just curious on the on how the velocity of sales into existing customers regarding a big part of the story as investments on the standard is that cross sale of use case since with the existing base. Are you seeing that your sales people are going back sooner to those to the existing customer well and any - or quantitative metrics on that would be helpful. And then I have a follow up later.
Matt Rizai: Yeah while we have as I said it's a group that focusing on our current customer. And they - various differences both with them and also stock that we putting a lot of debt. So we are seeing a very encouraging trajectory on how our current customers responding to our Wdesk case they'll used to be able to use it for various different use cases as I mentioned in my talk and as well as we're seeing their healthy and kind a predicted expansion on the stocks within our current customer base.
Michael Nemeroff: Okay thanks Matt. And maybe for you Marty, if you can maybe just discuss how you're seeing sales productivity during the quarter and how you expect that the trend over the next couple of quarters.
Matt Rizai: Marty do you want to take that?
Marty Vanderploeg: Sure I'll take that. We're seeing as obviously we've invest the new sales people to take some of the while to ramp up but certainly the people that we are training to sale the additional use cases into our customer base for seeing those people become more efficient quarter-over-quarter. The things at least now and the number of the things you have to sale. So there is a learning curve or that those thing that improve.
Michael Nemeroff: Thanks Marty and then Stuart if I may. The gross margins or subscription gross margin little over better than where we are expecting. Is there any reason to bad debt subscription gross margin should fall back below 80% over the next couple of quarters.
Stuart Miller: Probably not, probably don't expect it to fall back.
Michael Nemeroff: Okay. Thanks very much for taking my questions.
Matt Rizai: Thank you Michael.
Operator: Your next question comes from the line of Stan Zlotsky with Morgan Stanley. Your line is open.
Stan Zlotsky: Hey, guys. Good afternoon and thank you for taking my question. So just looking for the 10-Q very quickly. Looks like you added 80 heads in the quarter, nice number of adds there. How are you trending to your overall goal and pace of hiring as we are progressing through the year?
Matt Rizai: Yeah, we were pretty much largely tracking in terms of hiring and all different parts in the organization. So we are pretty pleased about the performance that we are seeing as we protected for the year.
Stan Zlotsky: And as that relates to sales and marketing the target of 25% to 30%, are you still on track for that?
Matt Rizai: Yeah, we are on track on that.
Stan Zlotsky: Okay, great and then also just checking in on the number of customer adds in the quarter. It was looks like in quarter-on-quarter added a net about 100 customers with strong results. Anything specific to point there? What drove the strength? Was this some pent up demands from Q1 maybe?
Matt Rizai: Part of it also was that our customer acquisition which had less effect within the context of M&A world. So I think we had less churn at least on our sides from an M&A that we get in Q1 and on top of its kind of demand that starts from Q1 and continues on.
Stan Zlotsky: Okay and then just last one from me on current billings looks like a very nice number you guys put up in Q2 on for that, was there any benefit to the Q2 number for current billings from your migration to more annual prepayments?
Matt Rizai: Little bit because again we're just focused on that migration just for new logo and so that's a pretty decent percentage of the new logos for certain new cases in particular where one year. So that definitely helped. But there were no conversions of existing customers in that number.
Stan Zlotsky: Okay, got it. Alright, that's it for me. Thank you guys.
Operator: Your next question comes from the line of Jeff Houston with Northland Securities. Your line is open.
Jeff Houston: Hi, guys. Thanks for taking my question. Start up with looking at the new track clients that were added in the quarter. But we are booked them across the win to SEC filing clients and how many were brand new clients versus...?
Matt Rizai: Can you repeat your question please?
Jeff Houston: I apologize. Just curious about how many of the new SOX clients were cross sales wins versus brand new clients?
Matt Rizai: We don't really split that up in general. But majority of the SOX clients that we got were from our current customers which is kind of by design. We do have a sales organization really goes and communicate them and tries to sell their platform to them. But we don't specifically break them out in terms of the percentage or number between customer or non-customer SOX acquisitions.
Jeff Houston: Okay, great. And I guess looking at the competitive landscape has there been any strange --from the income that execute better in terms - and do they have an online app that if you part of - some of below what Wdesk is - have you seen any competitive choice on making any headwinds or is still too little delay?
Matt Rizai: Mike do you want to answer that?
Mike Sellberg: Yeah, this is Mike. I'd say it's in the two little category. But we still face competition; they have tied that software to the mix. But we haven't seen really any growth direct from their software solution there. So, I would say it’s pretty status quo on the competition and in SEC business.
Jeff Houston: Got it and last question from me is for Stuart. At some point we are going to spike a bit in the third quarter for the user conference. What is the expected cost of that, that user…?
Stuart Miller: It's about $4 million.
Jeff Houston: Got it. Okay, thank you.
Stuart Miller: Thank you.
Matt Rizai: Thank you.
Operator: Your next question comes from the line of Tom Roderick with Stifle. Your line is open.
Tom Roderick: Hey, gentlemen. Good afternoon and apologize a little bit back - if you can't hear me. But I want a follow up on Michael question just regarding certainly upside effort particularly around - I'm really curious for what you are doing in terms of sort of aggressive sales training particularly back to the farmer crowd with respect to training those reps on the Sarbanes-Oxley solution and when you get passed SOX which one or two of these solutions are you seeing most demand for from the up sell perspective from the installed based community?
Matt Rizai: Yeah let me start with that and then Marty can follow up on that, that’s a good question like all the other questions. The first of all we have very focused training for all of our sales teams so we don’t really seeing a lot only team or the team we don’t favor them and one of the reasons that we really offer to sales people who come and work for is that it’s very important for them obviously to have a great product and great - customer reference but as well as training. So we do a lot of training and we spend a lot of in-person as well as with digital access we continually train our sales organization and obviously SOX is one area that we see our customers are resonating but we as I mentioned in my talk at the beginning that we are seeing lot of other used cases that are resonating with the enterprises. Marty do you want to add anything on that.
Marty Vanderploeg: Sure certainly the thing that we - the used cases that we see starting to get more traction certainly is in the management reporting or internal reporting area we’re seeing companies as that used to the SEC solution the internal folks start to see what they are doing and that’s starting to pick up momentum. The other thing is in the general risk area we do several different things in the risk market itself and we’re starting to see those also picking up. So to Matt’s point we’ve really spend a lot of effort training both the customer teams and the new direct team for an non-customers and to SOX and now we’re starting to move into putting together more structured training for these other teams that look quite promised.
Matt Rizai: Mike do you want to add anything?
Mike Sellberg: Yeah I wanted to just add we’re already seeing some really good early trends in up sell from the initial SOX sale into audit groups into the internal audit at these companies. So we’re seeing things like risk assessments audit planning and audit field work that kind of extends out of the initial SOX into the audit department as well.
Tom Roderick: Great feedback. Matt I want to follow up earlier question to about just the case and sales hiring so far. So appreciate the data point that you are on track a 25%, 30% growth can you go into a little bit more detail with respect to the construction of that of how you are looking to add to hires so in other words kind of layering in that evenly across hunters and farmers what are you doing on the indirect side of the business or I should say the inside sales reps side of the business and lead generation can you talk a little bit more about how you want to build that team out this year and strategically what that does for you?
Matt Rizai: Yeah first of all on all different parts of the sales organization we are hiring and obviously we have group that does nothing but - and we have a group that really farms and goes after current customers and we have people who are business development group that sets up meeting for the hunters and sales organization and then we also have inside sales people that we have put together that allows us to be able to sell the appropriate pricing seats and platform to the right people. So from our point of view in all those areas that we are trying to hire the number of people that we are looking at and we are pretty pleased with our hiring effort so far and strategically I think at the end of the day we are focusing on few things one is to make sure that we are on track with hiring the sales people and number two is we’re also making sure that our sales people learn quickly and start producing so that we have good and expected sales productivity in our sales organization.
Tom Roderick: That’s great, that’s it from me guys. Thank you very much.
Matt Rizai: Thank you, Jeff.
Operator: Your next question comes from the line of Steven Ashley with Robert W. Baird. Your line is open.
Steven Ashley: Thanks so much. I am going to circle back and actually just ask maybe a different variation of some of those same questions people have asking around SOX. When we look at the initial deal size of the SOX deal versus SEC maybe you could comment on that and remind us and then separately, I think it's my understanding that those SOX deals can actually land and expand and while you just talked about the fact that you could land what SOX in that leading to other continuous market. The SOX deployment itself increase and do you follow on deals there after you initially landing.
Matt Rizai: Marty why don't you start that - Marty?
Marty Vanderploeg: The first thing you asked about what the SOX deal size and that has been a real pleasing thing for us that we've seen that grow faster than we anticipated and that's been a very positive thing for us. The second thing about the - and we definitely see larger and faster ad ons in this market. Of course our data set us to early small. But we're definitely seeing companies come back and want seat sooner and want more seats.
Steven Ashley: Perfect and I would like to ask a question that's probably for Mike and it has to do around new product. You talked about evidence manager and I know you talked about maybe I should say task and event manager. Are there other new products in the pipeline that we may see coming up here in the second half of the year?
Mike Sellberg: Yeah, we are... we've got a pretty active pipeline there. We are going to be announcing at our annual user conference a couple of new key capabilities for existing customers and the logo. So we're kind of keeping those under wraps until we can do that first with our customers.
Steven Ashley: And maybe in general terms with these new capabilities help you in the SOX market or is that they help you push into management reporting a little more. Just in general can you give any flavor on that?
Matt Rizai: Yeah, as I mentioned there could any of that - it's kind of exciting us more and more as we see our customers or companies are using for their SOX solutions and there are so many different aspects that they look at it and then we start seeing on giving into the more - side of the business. So we are seeing quite a bit of an expansion of SOX type. What we thought was that we - SOX allows us to get a lot of exposure and various different parts of the organization and now that we are seeing that and what we are seeing in that and very way that how the customers are using SOX capabilities and other capabilities and Wdesk will be used quite a bit by our customers. Mike, you want to add on that?
Mike Sellberg: Yeah, I would just echo that I think the GRC spec and GRC and enterprise risk management space. SOX is a very nice kind of - into those broader areas. I mentioned audit earlier. There is a lot of interconnections between audit and risk departments and other areas. So as I mentioned we're seeing our customer use Wdesk for as I mentioned before audit planning and risk assessments on the audit side. We are also seeing risk appetite statements KRI dashboards, several use cases in kind of more enterprise risk management and risk groups as well. Including reporting to risk value and monthly reporting that includes both financial and risk data.
Steven Ashley: That's helpful color. Thanks very much.
Operator: [Operator Instructions] Your next question comes from the line of Terry Tillman with Raymond James. Your line is open.
Terry Tillman: Good afternoon. My list of questions that I could ask continuous to - but few left. Maybe the first question Stuart for you. You talked about the higher annual contract value. I guess what I'm curious about what are some of the components of that if you could kind of stock rank what's more relevant. First in terms of - are you having some price increases like-for-like functionality or is it bigger benefit to that higher annual contract value renewal from expansion of additional products?
Matt Rizai: Yeah. So I'd say in ranks and I'd say that the larger contract value on new solutions and sometimes new customers is probably the most important factor there. I think that price increases are in there, but if they are not, you are not driving that number upward just the higher annual contract value and the customer mix solutions.
Terry Tillman: Okay and I guess what I'm curious about is as you work to take the customer base that is on the quarterly auto renewal and move them to something that's more of an annual renewal or an annual prepay. Are you making any assumptions around maybe some increased attrition at least from a customer standpoint just maybe some folks might pushback or how do you think about that transition or do you think that you really wouldn't see any impact to retention rates?
Stuart Miller: Well as you could imagine we'll managing the equity carefully which is why that I mentioned a 24 month period for a well this at. There are we've got almost 3400 customers and 3400 contracts and they mature at different times related to come up renewals different times. And we have other issues to tackle with renewal than just whether there quarterly or annual prepay. So each customer is when we look at on a customized basis, but we certainly taking into account no less distributed demand there.
Terry Tillman: Okay. And just the last question, you all talked about this last quarter in the last quarter call in terms of increased brand investments starting in the second quarter and you did mentioned that that was part of the makeup of the sales and marketing this quarter. And I know that's not going to convert right away into some of the new customer adds in 2Q, but anything you can offer up in terms of some of the benefits if there are ROI you see from some of these brand investments whether it's more lead whether it more prominent mentioning by industry associations. Just anything at all we could understand on how you get the payback from these marketing investments. Thanks.
Stuart Miller: Yeah one other thing before I turn it to Mike and answer to that just want to do that I think I'm just - 3400 is actually 2400 customers which is in prepared remarks, sorry. Mike you want to about that ROI from the marketing investment spend.
Mike Sellberg: Yeah I think you kind have to breakdown the different categories. We focus a lot of our spend on website and different digital acquisition type tactics as you will see as we have very high ROI from just as like webinars. And last with partners like compliance. And those are typical things that are pretty easy to measure as far as lease coming end and moves through the opportunity pipeline. And then as you move towards things like advertising and different types of media those get little tougher to measure tend to be little more expensive that are again very important for overall earning. But it’s little hard to connect directly to sales --.
Terry Tillman: All right. Thanks.
Mike Sellberg: Thanks Terry.
Matt Rizai: Okay in closing, I want to thank you for joining us today. And operator you may now end the call.
Operator: Thank you. This concludes today's conference call. You may now disconnect.